Peter Steenkamp: Good morning, everybody, and welcome to our results presentation for the six months ending December 2018. A special word of welcome to André and Fikile, two of our nonexecutive directors. Thank you for joining us here today, always wonderful to have you with us. Presenting with me today is, we're going to have a full team. And obviously, it's normally myself and Frank Abbott, but we now decided that we also include some other people. So Mashego from Executive Director and Corporate Affairs; on the right-hand side, Boipelo, is the CFO; and on my left-hand side, I've got the 2 Chief Operating Officers of South Africa, Beyers Nel from Africa and then obviously also Phillip Tobias that look after the new business. Unfortunately, Johannes cannot be here today. He is tied up in quite some important negotiations with the government of Papua New Guinea. So he is not here today, but we'll try and field all the questions as far as the operations in Papua New Guinea is concerned. Just please take note of our safe harbor statement. If one look at the half year, I think the full big achievements for the half year is, first of all, our LTI frequency rate. We had a very big improvement in our LTI rate on the back half of all the work we've done so far as far as safety is concerned. Since I've joined Harmony, we had a total different approach as far as safety is concerned, and we're now starting to seeing the fruits of that. Then the 34% increase in production boosted by the Moab Khotsong and also the Hidden Valley figures, which is now in our numbers at the moment. 7% increase in underground recovered grade compared to the previous half year, the comparative half year and then a 25% increase in production profit to ZAR3.4 billion. Now look at the overview of the six months and on the operational excellence side, our risk-based safety approach is really starting to deliver on the safety rates, so we're quite happy with that. Moab Khotsong and Hidden Valley significantly boosted our production with a 34% increase in production as we said before, and we're on track to deliver on our annual production guidance of 1.45 million ounces for the year. From cash certainty, Moab Khotsong operations and Hidden Valley operations, obviously, added ZAR812 million to operational free cash flow and, obviously, our hedging program also added another close to ZAR500 million of free cash flow. On the effective capital allocation, I'm quite pleased to say that besides the memorandum of understanding with the government of PNG that really gives us some certainty in terms of the fiscal regime, but also time frames in terms of signing and the target date for the SML approval is in June 2019. I thought I'll just touch a little bit on safety. And the key aspects of our safety approach is really about our four layered risk approach, which is really a risk management type of way of looking at safety. And it's actually got the four layers: our baseline risk assessment, issue-based risk assessments, task-based risk assessments and then continuous risk assessments. And those are the different people organizations with different themes. From the baseline risk assessment, we, obviously, want to prevent significant unwanted events, and we have key controls that we want to manage all the time to ensure that we don't have these unwanted events. And obviously, a fatality is one of those unwanted events. Issue-based risk assessment. Everybody is very aware of that. It's really about control, monitoring and assessment of our safety processes. And then, obviously, task-based risk assessment is a systematic way of making sure that when we do any non-routine tasks that we actually have a way of dealing it safely. And then, obviously, continuous risk assessment is typically declaration of a safe working place, a permit to work that we do on a daily basis in anyone of our working places that we operate in. If one look at our results of that, we started with that in the middle of 2016. And you can see our performance -- our quarterly performance on one. And the 4.84 was the best ever performance of Harmony in its history and certainly now on par with many of the platinum mines in South Africa. And so we're really proud of the efforts that's been done as far as safety is concerned. We also, during the last 6 months, that the safety days at all our operations where we stopped every operation for a day. We reconnected -- I personally was with every one of those operations. We reconnected with all our stakeholders, our employees. Really had good support from the unions, good support from the government. And we really made sure that everybody understands their rights as far as safety is concerned, but also that, that is our number one value in Harmony. Agility increased our margins. And here we compared really with the FY16 that is when we actually started with this whole thing about including the quality of our operations. And before we look at underground recovered grade, we moved from the 5.02 at that time to the current -- for this year, we're looking at the 5.85 that we want to get to. So we are -- really done a quite a lot in terms of improving the quality of operations. If we look at the production, we were just under 1 million ounces. In that particular year, we had very little from Hidden Valley. If we consider the full cost for this year, it will be at 1.45 million ounces. And all the extra production that we added, we will have an all-in sustaining cost of $850 an ounce. So we're focused on improving the quality of our operations. We're pleased to announce that we've done the things that we set ourselves out to do in 2016. If one look at the half year to the half year and in terms of the performance of the operations, South African operations, obviously, the black without Moab Khotsong and then we have Moab Khotsong in orange and Hidden Valley, and you can see we're sitting on the 750,000 ounces for the half year. And so we're on track to beat that 1.45 million ounces that we -- that we targeted to. And we had a slight decrease in the South African operations. Beyers will talk a little bit about that when we -- when he gives his talk about South African operations. Underground recovered grade. FY17, FY18 and then in the first half, now we can see we had an improvement. Unfortunately, where I'm sitting here, I can't see those percentages, but they're on the screen there, you'll be able to see them. The screen is a little bit small here in front of me. If you look at the production and cash flow boosted, if you look at what we've done and if you look at the Old Harmony without Moab Khotsong and also without Hidden Valley, it's important that we actually did those 2 transactions. You can see, the Old Harmony in the half year results now, we would have added 5.12 gram a tonne grade with Moab Khotsong in this actually 5.65. If you look at our production, it would have been 15,599 kilograms and now just over 23,000 kilograms of gold for the 6 months. All-in sustaining cost would have been 568,000, now 528,000. And then, obviously, the operational free cash flow would have been 329 million and is now over 1.1 million due to the fact that we invested into Hidden Valley and Moab Khotsong. Just on Moab Khotsong payback. To date, at the end of December, we've -- we made ZAR1.1 billion in free cash flow since we've bought Moab Khotsong. We're on target to payback in FY21 and, obviously, -- and then continue with making some money out of it. But then, obviously, it excludes the Great Noligwa pillar and then also the Zaaiplaats extensions, both of them are currently in the study phase. I'm very proud to say that many people criticized us when we reinvested into Hidden Valley, but we are really proud of the performance of Hidden Valley. And it's a world-class safety and health performance. Certainly, one of the best safety mines in the industry, even in Australian standards. It's got a strong management team, disciplined cost management and pre-stripping of the cutback of Stage 5 is on schedule. Really the mining part of it is going very well. The fleet and plant we upgraded during the phase of the -- when we had the stoppages, and then also we improved the overland conveyor performances and that effect in December month, we had the best-ever performance of that conveyor -- overland conveyor and sort of things. So that all of the things that we've done there worked well. I think Harmony can now feel that management team can safely say, they are the experts in pipe conveyors in the world. Nobody knows more about pipe conveyors than that team. That team has done very, very well to make sure that we just deal with that operation and is outperforming very well. If one look going forward, I mean, that is, the left-hand side of that graph really shows us the performance that we had as a 50-50 JV partner with Newcrest and now you can see the production that we actually get now going forward. We're on par to get 200,000 ounces this year and it'll continue going for next 6 years. Just in terms of the payback, you can see that it's also on track. In FY '21, we'll pay back the money. I know there's a few bits out there, which will ever cover our capital here. And we will certainly make sure that we have that bottle of wine at that time in FY '21 when we actually repay the capital. Wafi-Golpu update. I think as we made some significant progress, we actually signed an MOU with the PNG Government between the JV partners and the PNG Government on the 11th of December, which really picked down the framework in terms of what we're going to negotiate. We, obviously, cannot make it public at this point in time because we're not sure if we want to -- first of all, make sure that we actually have the SML on our hands, and what -- all the regimes are going to be on that. But it's really also set our targets for completion, which is now those three target dates end of this month endorsement of the time sheets; end of March, we will have the detailed agreements finalized; and then on the 30th of June, we'll grant SML to the operators. And so -- but importantly is now that actually focused everybody in terms of what we're negotiating. And so we've got a quite a lot of teams that we need to negotiate with and it actually get all the better grades on the same page. We're also still continuing with the planning on the ground with the planning and the design of the Nambonga decline, which we will -- moment we get the SML on our hands, we will start with the development of that. Wafi-Golpu, just to remind everybody, is a game changer. It's got a large production profile, steady-state production in excess of 1.4 million gold equivalent ounces per annum, so that's a big mine. It's a high-grade mine. Gold of close to a gram a tonne and copper at 1.27%. It's going to be the lowest-cost copper producer and thus will have a negative all-in sustaining cost for gold, so it is actually if you give copper cribs to that. And we'll have some significant free cash flow. In the first 10 years, we will make 9 billion in free cash flow out of that operation if it's in production. And it's got a life mine of 28 years. Obviously, it can be extended at depth and also on the [subgenus] and Nambonga site. So there's lot of potential to increase production for longer than that. Just to give you the production profile of Wafi-Golpu, obviously, it's got about a five-year lead time to develop and then after that a very, very steep ramp-up because we really actually start with the block caves and you can actually get the full production very, very quickly. And you can see, it is a very, very good production profile for that particular mine. For the project pipeline, I'll hand it over to Phillip to take you through that.
Phillip Tobias: Good morning, ladies and gentlemen. Just to take you through, obviously, our project management processes, normally you do get this questions about CapEx and all that. So some of the key considerations, areas that we look at whenever we have to make decisions in terms of taking a project forward or maybe curtailing some, we look at, number one, the lowest risk profile. What we want to see. I mean, obviously, we want to see our portfolio derisked. If we have to make a decision between a surface and an underground-based project and the returns are almost similar, we'll most probably go for the surface related, like your high margins and low risk. Those are some of the considerations that we take into account. Safety, obviously, is our value. We do basically take a safety-based view in our approach. And then a lot of questions have been asked about the pillar mining, especially with the Great Noligwa as well. We do follow a very prudent pillar review process and at the end, make sure that it's going to deliver safe profitable ounces. The second aspect is improving margins. Our ore replacement and also our growth projects, basically, it's all about quality. Peter has already mentioned, I mean, going forward, we'd like to move down the cost cave and that will be at the back of good quality project that will be advanced, so that we can continue to migrate into the right cost quartile. The other aspect is generation of returns. I mean, our internal hedge rate that our project need to basically meet is in IRR of at least 15%. If a project is below that, we're not basically taking it forward. So that really already tells you the prudent capital allocation and discipline that we employ in our projects. Affordability, very key. You will see when we go to the next slide that we have a number of projects, but it's not advancing the metal costs. I mean, the issue of the cash flows generation for the group, very key and very pivotal. We cannot just advance a project whilst putting the business at risk. So affordabilities also plays a very key role. A project could be whether -- while waiting for tough months and maybe advancing months, 13 and 14 due to the issue of cash flows generations and forecast. Project management. I mean, this is one thing that we have really sharpened the pencil in as Harmony over the past two, three years. I mean, the proof of the pudding is basically in our delivery of the Hidden Valley project expansion. You will remember that we notified the market that we're going to spend $180 million over 18 months. I mean, that project was basically delivered some few weeks ahead of schedule and it was at $176 million. We got some change of ZAR4 million, which we could spend for other needs. So our project management processes, we are sharpening that and we are really growing in that regard. I mean, another project that was delivered ahead of schedule is our conversion of the central plant into a central plant reclamation project. It also -- funny enough, I mean, we also budgeted 176 million and we ended up spending 172 million. And that project, by the way, is almost paid back, is capital investment. It was a worthy and a good decision. So our project management processes, we have improved on that, and we do believe that we're going to take those learning's as well into the construction of Golpu at the right time. In terms of the organic opportunities, I mean, we did mentioned previously that there are number of projects that we're looking at. If you really look at the concept phase, we currently have embarking on exploration drive, rigorous, aggressive exploration drive at Kalgold, obviously, with an intent to say how would the future Kalgold mine look like. We're currently drilling. We will assess the results. We'll undertake the studies and at the right time, we'll come back to the market in terms of what do you think the future of Kalgold is. We also have a Target North, which is a greenfield project that is also on the exploration phase. On the pre-feas state, we've got the Mispah Tailings. You'll remember that when we acquired Moab Khotsong, we also acquired Mispah 1 and Mispah 2 Tailings then with the copper mine then. And we also, coupled with that -- there were 2 plants: the Great Noligwa plant and also the Mispah plant. Obviously, our intent is to convert one of these plants into a tailings retreatment facility. We are currently undergoing the studies and at the right time, a decision will be made and investment -- a prudent investment decision will be made. Peter have already mentioned that Hidden Valley cutback 5 and 6, and we're basically looking at the extension beyond that. So there are studies that are taking place. Zaaiplaats, that is basically below a below-infrastructure ore body resource at Moab Khotsong in the hands of Anglo. I mean, they have gone through a number of reiterations with regards to their pre-feasibility study, and we are now basically undergoing the pre-feasibility study wearing the Harmony hat, using our own philosophy to say how can we really take and advance that project and at the right time, we'll come back with a result thereof. On the feasibility study phase, we've got the Central Plant and reclamation expansion. Currently, it's running at 300,000 tonnes per month, and we're looking at options of saying how can we really expand that and basically optimize and leverage on what we have seen -- the good work that we have seen. We already have that installed capacity that will be most probably tweaking here and there, and we'll make the right decision and come back as well. The Great Noligwa high-grade shaft pillar. You'll remember that with acquisition of Moab Khotsong, we also incorporated Great Noligwa mine where we're mining isolated blocks of ground. The shaft pillar is still intact. We have just gone through the feasibility study, and we'll be taking that through our internal review process and make the right decision. And Peter has already mentioned, I mean, the Wafi-Golpu. Last year -- at the beginning of last year, we did give you the revised optimized feasibility study view, which was a much better one compared to the 2016 version. The MOU has been signed. We're just waiting for the special mining lease and then investment decision will be taken. So basically, we have a very healthy project pipeline. We've got a lot of toys to plays with, and it's a very interesting and exciting time. Thank you very much. I'll hand over to Beyers, who'll take us through the operational review.
Beyers Nel: Thank you very much, Phillip. Good morning, ladies and gentlemen. Operational excellence is core to generating free cash flow. And in operations, our operating model is basically nested on the 5 pillars. Firstly, safety and health. Peter mentioned the risk-based safety approach and really the focus on critical controls, and we are encouraged by our best-ever lagging indicator, lost time injury frequency rate performance towards the end of the year as we will not be satisfied until we stopped fatalities and stopped significant unwanted events. Secondly, infrastructure management. Again, happy to report that we continue to make very good progress in asset management and maintenance, and we continue to see good performances on infrastructure issues. And to really -- and from three years ago in Harmony, infrastructure interruptions are really no longer an issue in Harmony. Third pillar, grade and flexibility management. Obviously, very important for us to continue to increase our grade, to have a very disciplined grade management effort with no mining below cut-off and to continue to build flexibility into our plans. Capital allocation. This is really a discipline issue and making sure that capital allocation are done on priorities. And then, of course, cost management is key for us and cost management also in a sense of looking at productivity improvement. Generating free cash flow. If you look at our operation, you could see Moab Khotsong on the far left of the side, which proves the merits of the investment strategy and so also Hidden Valley, the third one then, you can look at the individual mines and how they contributed. And of course, on the far right, you have Tshepong, which I'll talk about in the slide to come. And also Joel, which is on the far right with 137 level decline extension project development continues. Key steps taken at Tshepong. Tshepong really comes with very good performance in the previous reporting period. And in that performing period, we depleted some of the flexibility at the assets. So the key steps taken at Tshepong is to put strong and stable management in place. That has all been completed now. Focus is on improving flexibility by speeding up development. I mean, what we call our iceberg management, it's just making sure that we've got enough spare panels to be able to make sure that we can deal with the requirements of [facing] generation. Disciplined mining and grade management at Tshepong is restored and in place. And we have implemented a lot of measures to halt illegal mining amongst others, additional security measures and a few other issues. On the Joel mine performance. I think, the Joel mine performance was really in line with the plan. I mean, Joel mine was planned at the levels where it came in. And it's really all about getting the capital infrastructure in place on the 137 level decline extension. And on the screen there, you can see that we are now firmly on 137 level and basically, the access development on those levels are continuing in order to open up your E5 and E6 raise lines, which is the first two raise lines in the project area, from which we will not only expect increases in productivity, but also increases in grade. I'll hand to Frank to take us through cash certainty and effective capital allocation.
Frank Abbott: Thank you, Beyers. If we look at Slide 28, this is the extract from our income statement. In the first column, we've got the past six months of our first half of our 2019 year compared to the comparative period ending December 2017 that was the first half of our financial year 2018. If we look at the production profit, we see that, that increased substantially with 25% and that came from Hidden Valley 900 million and also from Moab operations 900 million. Our South African operations, because of Joel and Tshepong had lower production and our profits reduced. If we look at the next column, we've got amortization and depreciation. We see that increased almost 900 million, and the biggest reason for that is Hidden Valley. Now that Hidden Valley is in commercial production, we are depreciating the book value of it and also the capital we spend on the stepping of Stage 5. So that was ZAR900 million. So we had an increase of almost 900 million in depreciation. Our foreign currency impact was affected by the weaker exchange site at the end of December compared to the previous December. And this resulted in our guidance on derivatives being lower than it was the previous period and also translation loss on our U.S. credit facilities of 180 million. So if you look at the total of foreign currency impact, it was 160 million negative versus 530 million positive in the previous period, which gave us a 690 million swing. And I think that explains why our net profit is lower. Although we had much stronger production profits and, in fact, stronger cash flows, because of the amortization and depreciation charge being higher by 900 million and also because of the change in exchange rate at the end of December affected our net profit. Thank you. If we go to -- that's a dollar one. If we go to Slide 30, that's Hidden Valley depreciation. On that slide, you can see that we've got those bar columns. Now if we look at the first one, that's financial year '19, the black portion is the plant and equipment, which we're amortizing over that period. The goldish color is Stage 5's capital expenditure, which was really spent or spent during this period and that gets amortized over the next two years. You can see from the year '20, we've also got the silver portion there on the bar and that is the Stage 6 capital that we are amortizing over this period. I think what is pleasing is to look at the green line, which actually shows the capital expenditure over that period. You can see how the capital expenditure reduces from the current year to the year '23. And of course, the impact of this you would see on our cash flows. So our cash flows are going to be far more positive going forward from Hidden Valley than that being in this period. With page over, you can see this is our all-in sustaining cost rand per kilogram. Now if we compare this with the previous six comparative six months, you must remember in that period we didn't have Moab and Hidden Valley, we were not in commercial production what was thought didn't belong to us. So in comparing there, we sort of by looking at the 499,900 kilogram, that was our all-in sustaining cost at that stage. The increase of 6.6%, which we call cash cost, was actually inflationary increase over this year. The 5.5% is because of lower South African production. If we keep the same very high production, as we did in that period, our cost wouldn't have increased with that 5.5%. We had a small negative movement on inventory. And then you can see on the right-hand side, the Moab operations that we were able to bring down our costs by 7.1%. The Moab we actually produced at -- all-in sustaining cost of 424,900 kilogram. And then also Hidden Valley brought it down. There, our all-in sustaining cost was 495,900 kilogram. So the total increase from 499,000 to the 528,000 was 6%. If we look at Slide 32, this is just looking at the comparative periods, the loss expense of our financial years -- over the first 6 months of our financial years, the last 6 months of the calendar years from 2014, '15, '16, '17 and '18. You can see that our EBITDA has increased substantially over this period of time. The gold at on the top was the effect of hedging and you can see that in 2018, there was much smaller effect from hedging, but much bigger effect from the actual operations, so the profits coming through from operations. If we look at the next Slide, that's 33. This is our free cash flow. And if we look at the first column, the cash generated from operating activities was 2.6 billion versus 1.8 billion in the previous period. You see that was a 45% improvement. And you can also see where we spend our capital at Hidden Valley, Wafi-Golpu and now South African operations. So from our operations, we still produced a free cash flow of ZAR300 million, which helped us to reduce our debt. On Slide 34, we've shown net debt levels. Now you can see in June, we had net debt levels of about $200 million and you see how that came down. And in the financial year '16 -- '15, '16, we decided to embark on our growth strategy and the first growth was to recapitalize Hidden Valley. You can see the green is the capital -- sorry, so if I can start there, this is Slide 34, net debt level. You can see there from June, that was where our net debt was. We reduced it. And in December, we started spending capital on Hidden Valley, and our net debt levels increased. In June last year, we also increased our debt with the acquisition of Moab. So you can see where our debt was at that stage. And since June last year to December now, we have been able to reduce our debt with just over ZAR300 million. Our capital allocation priorities. In the first column, you can see debt repayment. It's very important for us. We're targeting a net debt EBITDA ratio of below 0.8. So we will be applying our capital to reduce our debt, that is very important to us and that's to improve the balance sheet flexibility. Then, of course, Wafi-Golpu. The permitting, as Peter mentioned, would be completed by the middle of this year and that's going to be very important for us. And then after that, we will be starting to look at the funding and that's also going to be very important. Wafi-Golpu is going to be part of Harmony going forward. And then, of course, we are evaluating other opportunities for organic growth and value accretive M&A. Thank you.
Peter Steenkamp: Looking forward, I think, just before I continue, I'd just like to also welcome Mr. Mashego. Thanks for joining us, also one of our nonexecutive directors, came a little bit later. Before we go, I just wanted to talk about our value-creating scorecard. A lot of talk was made at the mining about both the Minister and also by the President in terms of our social license to mine in the areas that we operate. And I just would like to maybe highlight a few things that we're doing as Harmony to ensure that we have a proper value creation in the areas that we operate. First of all, we are on faster inclusive growth and really trying to advance local businesses in our communities, and we've created quite a lot of brand-new businesses in our communities. We spend a lot of time in terms of developing and also getting joint ventures going with local business people and also our current business. And from our beneficiation perspective, Harmony, obviously, do have refinery as part of it's refinery process, but we also have the Virginia Jewellery School that operates since December 200 -- 2000, and that jewelry school actually manufactured jewelry that is sold in [Vulcan], but also here in Sandton and then also at the waterfront in Cape Town. The jewelry school is actually there to develop young people to be goldsmiths and then also make -- manufacture jewelry in a very, very successful process that we're running there. On education, skills and training and development, the Harmony bridging school is running since 1996. I think it's probably one of the things that we're very proud of, where we really take people from areas that is underdeveloped, school kids that don't have bright schooling, putting sort of bridging schools and then tell them to either go to university or to be taken up in the field. And all of those -- many of our current bursaries come from that bridging school, and we're very proud of that. We also have the harmony bursary program where we give bursaries to 100 individuals per year, which is a program that's also very successful. We've got really some very good learners there, a very good passing rate also amongst them. Then we've got learnership, internships in mining and engineering. And if we look -- when look at the last year, we've done over 300 learnerships in mining and also in engineering. And there's something that we started to roll out last year. We believe that we will have about 500 per year operating going forward. Then we have the leadership development, which is something as we've done in Harmony. One of the biggest pillars in terms of our success is the quality of leadership we have. Our leadership development is not only on the management side, but it also goes down to team leader level. And we have the academy that runs the leadership development in all different areas that we have. Portable skills, obviously, very important for people that leaves our employment to have that. And adult training and education. We've got 500 people per year that have actually got trained in AV, adult training per year in Harmony. That is now both from our own people and also people from the community. Obviously, safety is important value-creating scorecard that we have to have in place, we talked about that. Our ESOP scheme, a new scheme is being launched in February this year. It's actually in the process of being launched amongst our people, the Sisonke scheme. And the new ESOP scheme that was approved by the shareholders when we did the Moab Khotsong transaction. Employee living conditions. Single occupancy at all of our hostels for our own employees. We also created over 450 family units through the Merriespruit housing project in the last two years that we, matter of fact, put into the Welkom area but only for our own people. And then, we'll be very proud to say from a gender equality perspective, we were recognized by the Bloomberg Gender Equality Index for 2018. And for a gold mining company to be -- with the policies and the way in which we implement gender equality in Harmony is being recognized by the Bloomberg Gender Equality. So we are, for environment, social and governance, focusing on those areas, making sure that we are responsible corporate citizen and delivering on the softer sides of things, too. I'm glad to say that we probably are in a very positive gold market sentiment at the moment. If I look at the spot price and the consensus outlook for going forward, we feel very comfortable that we will have a better gold dollar price going forward. And it's really through economic tailwind that we have these global inflation pressures and real interest rates worldwide; geopolitical concerns, trade protectionism and trade wars that we currently have, which is currently creating quite a tailwind for the gold price. Physical demand, we see strong demand from China and other areas. And then supply issues, certainly, we believe that supply issues in the long term will also have a impact in terms of gold price. Outlook going forward. We know that safe mines are profitable mines. And certainly, from our perspective, we have to continue focusing on safety. We have to continue focus on eliminating fatalities and ensuring that our operations are working in a safe and a preventive environment. Focus is relentless on that part of our business. We're on track to deliver a sustainable performance. And we are delivering on our investment strategy, and our cash flows will be effectively allocated to growth opportunities going forward. Are there any questions?
Q - Adrian Hammond: It's Adrian Hammond from Standard Bank. Couple of questions just to kick-off. Firstly, how do you see the deployment of your free cash now? And can you touch on dividends going forward? And then following on with your CapEx outlook for Golpu for this remainder of FY '19 and FY '20, please?
Peter Steenkamp: Frank, can you take that?
Frank Abbott: Sure. Yes, thank you. Yes, so I think the first question is on dividends. I mean, as a company, our policy is, we do want to pay a dividend, and we look at our cash flows, our debt levels, the flexibility on our balance sheet in making that decision. So going forward, we would be looking at it, and we do look at it on the six monthly basis. We just, right now, as I mentioned when we looked at capital allocation, our priority one is to repay our debt to pay to reduce our debt. And we believe that, that will give us the flexibility. We went through enormous growth in the last two years through the molding of Hidden Valley and also through the acquisition of Moab. And that's why it's important to pay for the debt first before we consider a dividend.
Adrian Hammond: And just on the CapEx for Golpu.
Frank Abbott: Yes. So the CapEx on Golpu. The capital expenditure, and I can't recall the capital expenditure for next two years, but it's not that high. And we believe that we can fund that from our cash flows. And we believe that we can fund that from our cash flows. And during that period, often we have got the permitting, and we are sure about all the terms that we believe that we'll be able to come up with the right funding with our advisers and banks.
Adrian Hammond: Okay. Are you happy with the liquidity headroom you have at the moment?
Frank Abbott: Yes.
Adrian Hammond: And just on capital allocation, you touched on IRRs of 15%. What's the gold price you've assumed for that?
Frank Abbott: So the gold price that we use is -- we normally work from the current market price or gold price current? So it's not that we have a long-term view on gold price. We always work from the current prices when we calculate that. And in rand terms, we would work on -- we've been working on ZAR550,000 per kilogram.
Adrian Hammond: So I'm just -- okay, so I just need to ask then on Hidden Valley because I'm not seeing these sorts of returns. You've got a production profit of 933 million and depreciation of 915 million before any corporate costs or taxes. So how do you rationalize that investment decision?
Frank Abbott: Yes, I mean, if you look at it, let's just go to that. Okay, so the first thing is because of the high capital expenditure over that period, we say it's pretax, but it's also post tax. We will not be paying any tax on that at Hidden Valley. And you can see that we are making -- when I look at this year, it's like ZAR4.4 billion after repaying the investment and our IRR was in the 20%, yes.
Adrian Hammond: On your corporate costs, went up 20% year-on-year, 388 million, which is quite a large portion of your operating free cash, 1.1 billion. Why has it gone up? And are you looking -- are there -- is there scope to bring it down?
Frank Abbott: Yes, the reason for our increase in corporate cost was really that we've moved some of the employees from the operations to corporate in -- when we sort of restructured it, we've got an ex co team -- operational team, which is now classified as corporate. And that really resulted in the increase between the previous year and this year.
Adrian Hammond: So what's the normalized figure, please?
Frank Abbott: No, that is the normal number.
René Hochreiter: René Hochreiter from NOAH Capital. Just on your 5.85 grams a tonne, is that the average grade over your reserve? Or is that what you can get to with quality mining?
Peter Steenkamp: Beyers, would you like to answer on that?
Beyers Nel: Yes, I think Jaco is also in the audience. Jaco, if you want to take it? The question was the 5.5 grams a tonne, is that the average reserve grade...
Peter Steenkamp: I think 5.85.
Beyers Nel: 5.85, sorry. Or is that where you can get your quality mining?
Jaco Boshoff: If you look at the reserve grade of Harmony, with the incorporation of Moab Khotsong, that's at 5.65 grams per tonne. So there is a period where we will see a bit higher grade because of some of the mild upgrade operations mining in the next 2, 3 years.
Peter Steenkamp: And what is significantly why the grade is also we, as always, we have the philosophy of not mixing waste and reef. And one of the things we had at Moab was that we had -- reef and waste was mixed during the reporting period. We -- and then all of that, we actually put all the systems in place to separate the waste and reef. And so Moab, going from 1st of February, will now be on reef slowly and then waste will be hoisted separately. So that will, obviously, create tick up in the grade.
René Hochreiter: Just the Hidden Valley pre-feasibility study, how much life will that add to...
Peter Steenkamp: We think, René, about three years of extra life. Depends -- all depends on the tailings facility that we have and can we expand that. That is the constraint, the tailings facility. We have a tailings dam that has got a like a restrictive amount of capacity. If we can find a way of actually doing it more, then we can actually make the life another seven years in total. But we believe the tailings facility is going to be the restricting factor.
René Hochreiter: Just on Wafi-Golpu, if you get permission in June this year, so the first year of production will be June, well, 2024.
Peter Steenkamp: Yes. It's about a five year lead time to build the mine, of which the first few years are actually just the sinking of the declines, not -- and the building, obviously, of the roads and infrastructure. But the main intent to start building the plant here, too, sir.
Patrick Mann: It's Patrick Mann from Bank of America Merrill Lynch. You guys showed some slides around the improving quality of the portfolio, and what the all-in sustaining costs and production would have been ex Hidden Valley and Moab, but what that sort of highlighted as well is that, that part of the business isn't really generating any value at this point, I mean, almost ZAR 570,000 all-in sustaining cost rand per kilogram. So how should we think about that part of the business? I mean, I know that Joel has got declines and Tshepong has got a kind of turnaround plan. But it looks at the moment like the rest of the business is carrying the old Harmony. Is there a way to extract value from that? Or is it just about managing these old mines into their closure?
Peter Steenkamp: Yes. Thank you, Patrick. Getting back to, I mean, this I'll call the old South African operations without Moab, I mean, Joel is going to -- will generate good cash for another seven years after the decline is finished. We are on track and on time to get a decline now running. So within a year or two from now, it will -- or a year from now, we will start seeing good profits out of Joel. So that will be -- sort of that is actually one of our star performers in the past, and it will continue to -- going forward, it will be one of our star performances. The one that is must -- Unisel mine, we are in this process of mining the shaft pillar. We make good cash out of that. We're harvesting it now, mining the shaft pillar, only mining Basal, and we will mine it out in a year from now. And Masimong is the one that we still don't have a full handle on. We had some very, very good performances from Masimong. Of late, we had a fire in one of the B Reef stopes, which actually, we would like to get back into. If we can't find decent B Reef grades, then Masimong has got a very limited life. But we don't want to pull the plug in it before we actually try to find the right place for it. So Masimong, what we believe is, we're going to get back into those areas that was affected by the fire, it will be great. So Tshepong has got it's own turnaround plan. And the other operations are really about -- all of them is really in the harvesting mode. I mean, Kusasalethu has got a five-year life. We said last year that five year life, could add another five year life of high grade. And Kusasalethu had a very, very good performance in the last six months, so we're quite happy with the performance that we're seeing there. Even though it was impacted by two fatalities, which -- you still had a fairly good performance. So basically, South African operations are really -- every one of those operations has got a plan to either make it decent margins or to actually harvest it and mine it out.
Leon Esterhuizen: Leon from Nedbank. Looking at mining, and you say excellent mining creates free cash flows, and I'm absolutely with you there. I just want to understand how it is that you don't know from one quarter to the next that you're running out of flexibility on Tshepong. It doesn't make any sense to me. If you're planning your mining correctly, how do you suddenly discover that you haven't got enough development in place? And then just on what Patrick was asking, then you plot your grade profile against our cost profile, it's sort of the same profile. So it's fantastic to see the grade going up, but you're not really getting the good benefit that you should be getting from that increasing grade because you're cost is consistently falling then higher. Is there any chance of getting this cost profile lower, especially now that you say we've had a hiccup at Tshepong, the costs are now guided higher. But can we guide those costs lower again when we fix up Tshepong and some of these other things?
Beyers Nel: Peter, I can take the Tshepong development one. It's not quite that you -- on development, figure out in a month or two that you've got a problem. So in the previous reporting period, the realities of Tshepong operations depleted faster than we generated. So we're well aware of the problem, and we were investing effort and time to get the development performance of the mine up and to get that to improve. Now I can say now the development performance at the mine is restored. I mean, the development performance looks good. But as you know, in a development where you got to develop today doesn't give you five things tomorrow. There's obviously a lead time to that. So I mean, Tshepong shot the lights out in the previous reporting period, made a lot of money. And it was basically a big part of being responsible for paying back the debt at the time when we started three years ago. So yes, I mean, Tshepong is disappointing for us. I mean, we didn't want to be in that situation. But I mean, I can say that the development performance is back on track. We did have management issues there. I think you remember, regional general manager. We've got new management in place there. There's really an energy about the mine to get it right. So people have not given up. It's a long-life asset. It's a quality mine. Combining Phakisa and Tshepong is still important for us. And if you look at the two mines individually, the Tshepong mine is actually performing well. It's actually the Phakisa mine where we've got flexibility issues. The northern side of Phakisa is, obviously, the higher-grade part of the mine. So I think we understand where the issue is and working round the clock basically to get that right. On the cost guidance, Peter, I can also take that. If you would have just normalized the Tshepong performance a little bit closer to where it was in the past, there wouldn't have been a unit cost problem on our all-in sustaining cost level. So on the rand side, there's always more that we can do. And, as Harmony, I think we've proven that on the cost side, we're always fit and lean, and we will always do more. But I think we can also fix it on getting the production right from Tshepong. So that's really where the focus is, to get the costs down.
Leon Esterhuizen: Can costs come down?
Peter Steenkamp: Yes. I would like to see that we actually see one year when the costs come down. I remember the previous year, we had a kind of a 2% increase in cost, which is all-in sustaining cost, which was no mean feat if you think about the cost pressures that we do have. I mean, we, obviously, went through a cycle now where we did the three year wage deal with organized labor as part of it. And we probably would have liked to get a little bit of a better deal out of it. But the kind of industrial peace that we had with that, and at the end of the day we sat down with close to 6%, which is more or less the CPI in terms of where you are, a little bit higher than CPI. But we have the three year deal, so we have a long-term industrial stability. And you can see, if you don't do it properly, you can easily get into trouble. And we've paid much less than some of our peers and then slightly more than some of our peers, too. But we believe that we had a fair and just system. Remember, we, in previous years, always greeted with a lot of poverty and eventually, it got to the point that we couldn't -- and we certainly couldn't use that argument this time around because we had quite a turnaround in our performance. So overall, our people are not paid higher than other companies, so talk of individual basis. But we certainly had to do a little bit of an adjustment during the course of the last bit and get this through this now three years of, I think, a fairly good deal for us. But yes, we would like to see the cost coming down. And it's all about the -- I mean, there's not a lot of things we can do at Harmony to bring the overall cost down. I mean, we don't spend money on stuff that we shouldn't be spending the money on. What we can do is to really try and get our volume improvement. And even though we had at Tshepong disappointment improvement, we are still above target with the rest of our operations because they did better than what we thought they would have done.
Yatish Chowthee: It's Yatish from Macquarie. Sorry, just to continue on the cost wagon there. You -- like you said, you battered down your largest cost component, which is wages; and secondly, is Eskom, which is looming on the horizon. From a perspective of harm, what sort of costs increase could Harmony absorb comfortably, say, if Eskom where to go 5 -- between 5% and 7%, would that imply a massive rethink around your strategy and planning? And then just secondly, you've seen a lot of your peers around you restructure potentially close shafts on. Have you seen any potential synergies with any peers in either region that you're currently mining in where you could potentially be a saving grace?
Peter Steenkamp: If you look at Eskom, first, I mean, obviously, that's a concern. I mean, we're worried about the Eskom. We're worried about those inflation increases and this so-called 30% and three times in a row, that will kill many of our high cost. Our biggest operations that runs on high electricity costs are Kusasalethu. That will certainly put Kusasalethu under big scrutiny if we can still mine then and mine there. We, obviously, have to increase our cutoffs. The will make the mine smaller and shorter, and see if it's at all viable to do that. Our other operations is, obviously, Moab Khotsong, but that's obviously a big-margin mine, which is a very big electricity consumer. And then Tshepong operations just because of the sheer size of it, is also quite a big consumer of electricity. But certainly, that will change cutoffs. It will change life of mines. It will change the -- have an impact on jobs if Eskom continues with this above -- or very high increases. The other part of your question, Yatish?
Yatish Chowthee: Sorry, synergies with potentially other -- with your peers in the regions that you're mining.
Peter Steenkamp: Yes, we're on the outlook for something that we can possibly do with -- that make sense. At this point in time, we're not looking at anything with any of one of our peers. We believe that Moab was a very good transaction for us. If we can do another transaction like that, we would be very happy to do that. The -- so yes, I mean, at the moment, like I said, there's no real talk of -- between different -- of wanting to do some sort of facility between the different mines.
Phillip Tobias: Again, maybe just to add on what Peter is saying. Obviously, that's why we're talking about looking also on your derisking of your portfolio. We're looking at the retailings. I mean, if you look at Slide 43, you'll see that the Central Plant reclamation that we're talking about is operating as less than ZAR 400,000 a kilo. So obviously, there's an opportunity with the Mispah, and there's an opportunity with the Central Plant expansion. We said we're drilling and exploring Kalgold, so that's where you'll come in and basically balance your portfolio. So we need to increase those type of opportunities, low risk, high margin so that we can balance off our all-in sustaining costs.
Leon Esterhuizen: Sorry, last question here. I wasn't quite happy with your answer on Eskom. Eskom is really a serious -- not a short-term issue, a long-term issue. So just to sit back and wait for them to put up their prices and kill the industry doesn't seem to be the way to go. So my first question is, what is the industry doing about it? And looking at -- and that's, all right. And the second question I've got is, I'm not sure that the focus of Harmony is great. You got this mix of assets from legacy to really great prospects in the future. And I think you're bogged down in the old and legacy assets and, therefore, you're constrained in terms of cash flow. Shouldn't you be much more aggressive and focus on something like Wafi-Golpu and list the asset and raise the money and get on with it and not put the asset at risk -- the rest of the group at risk? Because maybe it's just too big for Harmony and too risky in its current format? And also, you've got a lot of other potential. You've got Target North, which could well turn out to be something quite good. Shouldn't you rather focus on these things with a different corporate structure so you guys can keep going?
Peter Steenkamp: Thank you. Just on -- first of all on Eskom, we have not set an alarm and just wait for Eskom. We have drastically reduced our consumption in electricity. We talk about the consumption on demand processes we're running now, control systems that currently actually in terms of compressors and in terms of fans and all other kind of things. So there's a huge reduction in terms of our consumption as far as concerned. What we have not done is that to try and generate something on our own. We've started with a process to try and generate -- which we're still working on the project, to generate from one of -- some of these old areas that we now are virtually rehabilitating to create crops that we can in actual effect do buy energy from that. But it's small. It's not big. I mean, it's not the biggest scheme of things. You cannot run big mines without Eskom. But as far as consumption is concerned, we've had a dramatic reduction in the group. Electricity was cheap in the past. We could pilot them, do the things that probably other countries have been doing. But we have a quite a big team working on the reduction. And Beyers, can you report the consumption reductions at time really. Well, maybe you'll sort of remember?
Beyers Nel: No. I think, Mel, you can go.
Melanie Naidoo-Vermaak: I think you can actually hear myself. Thank you, everyone. Peter, we reduced year-on-year by 10% of our electricity consumption really driven through the energy efficiency program that's been run. Coupled to the energy efficiency we're also looking at energy mix. In fact, we've just gone out on procurement for a 30-megawatt solar in Welkom. And once we've got the licensing in place to run this, we'll be able to decide whether or not we progress it.
Peter Steenkamp: On the other corporate development, I think the way we are as a company is that we take it a step at a time. We, first of all, want to see what Wafi-Golpu brings. Before that, we cannot make any funding plan or corporate activity whatever. So we have to sit down and actually get the SML in our hands. If we get the SML in our hands, we need to sit down as Harmony and say, okay, how are we going to fund it? How are we going to be part of it? What structure should it -- actually Wafi-Golpu be part of it, et cetera? But not having the SML in their hands is -- so I think it's premature to make that decision. The holding cost of Wafi-Golpu and the development cost of the first to -- we don't have to make the decision also on the first year. We can make it at the right time, at the right place, and we can take our time and make sure that we have the right decision as far as Wafi-Golpu. What we want to do is ensure that our shareholders get the maximum value out of Wafi-Golpu going forward. Whatever structure we're going to be at the end of the day, there's so many different things that we can do with it. But certainly, our first step is get the SML. Get it done, get our 40-year mining license for Wafi-Golpu. And we know what the regime is, we know what the tax regime is so that we can actually have something in our hands that we can now take somewhat forward. At the moment, it's all speculation still. What is equity participation? What is the taxes that we're going to pay and then we'll see. So we have to take that first steps. Now I know people get impatient with us making because we're not making that next step, but it was important that we take it step-by-step.
Unidentified Analyst: How optimistic are you that, that [indiscernible].
Peter Steenkamp: Really good, really good, very optimistic. Like I said, we signed an MoU. The terms of the MoU we're quite happy with. We're not sure if that terms is going to be the final SML. We think it will be. We are optimistic that it will be the same. And if that's the case, we are quite happy with the outcome.
Arnold Van Graan: So Arnold Van Graan, Nedbank. Looking at reinvestment, and a question for Phillip. Given all the risk that we've discussed surrounding underground mining, do you apply a much higher discount rate when you're looking at underground opportunities versus surface? So you say, you're looking at least 15% return for a project. So let's say, 15% on dump retreatment. What level would you apply? What discount rate would you apply for something like Zaaiplaats, which is exposed to all of these challenges that we've discussed earlier? Can you give us an indication of how you look at this? And how you try and balance the risk with potential. Can you give us an indication of how you look at this? And how you try and balance the risk with potential returns coming out of these assets?
Phillip Tobias: Thank you very much, Arnold. Obviously, the first thing is to look at your -- of volume potential, as you are well aware, and then look at the different mining method, what could be the optimized method. Our IRR is a minimum of 15%, but as you mentioned in terms of the mining deeper, our electricity cost will be higher. I mean, your efficiencies, traveling distances, those would be higher. So we have seen that in that regard, we'll have to really look at it on its merit and make sure that we incorporate some of these things. But for now in terms of the first run, I mean, they must meet the 15% IRR.
Peter Steenkamp: But the discount rate is fairly high. So would one of you also...
Frank Abbott: So yes, I think that bankers like to just increase the discount rate that they think is best. This is not what we do. What we would do is we've actually got a chance that cash flows to be conservative depending on what the circumstances are. So we have much more certainty on the surface treatment plant on our future costs and revenue then we would have underground. So what we do is we will be -- take more conservative views of our costs and production targets than we would with a surface operation. So that's where we get the change, that we use the same discount factor.
René Hochreiter: Just one more question. Sorry, just following on Wafi-Golpu and John's question. You're obviously getting a better than 15% IRR on Golpu. What gold and copper price did you use to get that?
Phillip Tobias: Oh, sorry. The -- our internal rate of return is 18.2%, and that's based on a $3 a pound copper price and a $1,250 gold price dollar pounds.
Peter Steenkamp: Okay. Marian say that we must now start wrapping up. But -- so but we are still available here if you've anymore questions and more things that you would like to ask us. And I thank you very much for being here this morning. I'm glad to see that we had such a good turnout. It shows just a little bit of interest now in Harmony that -- I'd say my first time that I've came here, a lot more interest now. We got exciting stuff coming our way. Hopefully, we will give you a lot more clarity as we continue through the next few months and then rest of this year. Thank you very much for joining us.